Unidentified Analyst: Good afternoon. I am very pleased to be able to introduce Gentherm. Gentherm is a leader in thermal technology, leveraging the company is proprietary thermal technologies. It designs, develops and manufactures heating, cooling, and ventilating devices across diverse global markets. I am pleased to introduce Dan Coker and Barry Steele, the CEO and CFO respectively.
Daniel R. Coker: Thank you Brian, and thanks everybody for interrupting your lunch and coming into listening to us for a few minutes. We are going to spend a few minutes talking about Gentherm and as Brian as indicated we are a thermal management expert, thermal management solutions are our daily business venture. We specialize in seat comfort, interior comfort. We are working on advanced thermoelectric technologies and we also have a growing electronics business unit. In the seat comfort area we offer a full market basket of featured products for our OEMs and Tier 1s to design into the interiors of future vehicles. We are the world’s largest supplier of heated seats, resistive heated seats. We are also a major supplier of heated and ventilated seats and we’re the leading supplier of heated and cool seats and we’ve just introduced some new what are called neck heating systems primarily used for convertibles. In our Interior Comfort section, we have offered – this is also sometimes called the convenience group, cold bin storage, arm rest heating, steering wheel heating, cup holder heating, floor heating, heated surfaces throughout the cockpit of the car that come in contact with the occupant and dashboard heating. In the advanced thermoelectric area, we are working very hard on zonal thermoelectric heating and cooling systems for advanced cars, waste heat recovery which takes the heat in exhaust gas and converts that to electricity and battery thermal management systems were reused primarily to cool battery packs in electrified vehicles. We’ll go then – a little bit about that briefly. Gentherm was founded on the principals of converting thermoelectric power where we essentially convert electrical energy into thermal energy or thermal energy into electrical energy. Most typically we use something called the Peltier effect, which is electrical energy being converted into heat and cool. That’s the basis for the heat pumps used to heat and cool the seats and it’s a primary driver for our system. We also have the ability using the same technology to convert waste heat in a car into electrical power allowing for a reduction in the size or eventually perhaps even the replacement of the alternator on the car. The combination of our two companies, the old Amerigon and the old W.E.T. Amerigon was the leader in electronic systems for thermoelectric heating and cooling, plus the electronic controls that manage those systems. W.E.T was the world's largest supplier of resistive heating equipment and the electronics necessary to manage that. The combination of the two companies again gives us a full market basket of products. Our primary product for the high-end vehicles is the climate control seat. This is as described here in this picture, two thermoelectric heat pump modules, one in the seat back, one in the seat cushion when energized cabin air is drawn into the system, pushed through the thermoelectric heated or cooled based upon the occupants desire and that area is pushed around the occupant in a conductive form delivering the heating or cooling air as opposed to a resistive surface. W.E.T. heats through conduction, reheat the surface of the systems with electric coils that are run beneath the leather trim kit and are applied in a variety of ways, some of those are identified here, but primary of this resist development that are laid under the seat when current runs through there, the heat resistance heats up the seat and then the heat is transferred to the body by conduction. We have several new applications. This is primarily an application for our thermoelectric products; a heated and cool bed. This was introduced in test markets in Texas a few years ago. We now are quite excited about the opportunity to be able to provide individual sides of a bed to be heated and cooled to the occupant’s preference. Most of us at the company have experienced these products. We all hope that they should be sold as a medical aid because it brings harmony to the household. In our house, I always keep my bed on a cool level, my wife prefers at warmer spot. So it allows both of us to sleep in the same vicinity and still have independent comfort. We think this is a very brilliant product and I think as we find good methods to market today we’re distributing this product exclusively through a company called – a retailer called Mattress Firm, which is a Houston based retailer. I believe they have something like 1,200 to 1,400 stores primarily in the southeast and southwest. They are doing a very good job for us in helping us to get the product out to the high-end market. These are very expensive beds. They are not to be confused with the discount brand. These are very high-end beds, they sell for $3,000 and $4,000 a piece, but they are also a very high-end bed with the additional feature of being able to heat and cool independent sides. We are working, as I mentioned earlier on developing a device that will allow the OEMs to recover heat from the internal combustion engine as it passes through the exhaust system and convert that into electrical energy. If we can generate enough electrical energy through this, we will be able to greatly reduce the size of the alternator which is a significant drag on the energy efficiency of most IC engines. The Department of Energy is one of our prime sponsors, as well as BMW and Ford Motor Company. We have produced units that are generating in excess of 700 watts of power. These models have been on the road in test drives for the past two years and are performing to our expectations. Our goal is to be able to develop a device that will produce over 1,000 watts and will sell for few hundred dollars allowing for a dramatic reduction in alternators. Advanced thermoelectric systems, we believe will be used to carry some if not most of the load of heating and cooling the interior cabins of future vehicles, as engines gets smaller and more energy efficient, there will be less capacity to drive conventional compressed gas, heating and cooling systems and we believe thermal electrics will be a major player in those components. We acquired the assets of a company called W.E.T., the world's largest resistive heating seat supplier on February 22, 2013. We registered the domination agreement which gave us the right to manage the assets of the company. Today, we have completed this process and we now own 100% of the shares of W.E.T., so we’re now a completely consolidated company. The squeeze out has been approved and both managers teams have now been clearly integrated and they represent a very strong part of our future goals in terms of growth and manufacturing capabilities. With the acquisition of W.E.T., Gentherm now scales the globe with a very large network. Manufacturing sites we have in Europe, we have facilities in Ukraine. In North America we have a facility in the Acuña, Mexico. We have manufacturing facilities in Langfang, China just outside of Beijing and in Shenzhen in the south where we make electronics components. We have sales and engineering offices in all the major markets supporting our OEM customers. Our headquarters are here in Northville, Michigan and we have an R&D center in Los Angeles, California. A little bit of a scale of what’s happened. W.E.T. was founded in 1968. The old Amerigon was founded in 1991 in California. The two companies combined in 2010 essentially and today in 2013, we’ve exceeded $600 million in revenues for the first time. Our message to the market is that we provide all solutions for thermal comfort inside the car particularly for the seat occupants of the car. So we focus the thermal energy on each place where an occupant of the vehicle might be sitting. We also have the ability to add some convenience items for the occupants in terms of heated and cool cup holders, heated and cool steering wheels, heated and cool storage boxes, and we provide the electronics that manage all of these subsystem. This is an explanation of what our customers see as we have often the largest range of products. We have the full design and integration and test capabilities worldwide. We have manufacturing centers with low-cost, assembly projects in each of the major three markets plus we excel at program management. We work very hard in making sure that our customers don't have to worry at all about using any of our products in the marketplace. In addition to that we have a very strong research and development and innovation component to our business model and to our plans. So we tried to be the solution for anyone who needs thermal management systems in their cars. For us this means a couple of key things. It really entails around how do we get the occupants of a vehicle comfortable as quickly as possible. The heated and cool seats, the high-end product of our lines work in all market conditions. We have the ability to heat seats and cool seats on either range of the market. If your market happens to be a cold market you only need a heated seat, we have a lineup that. If you are in a moderate climate you may only need heating and ventilation, but we have the opportunities to provide solutions to all market applications. Our customers are all the major OEMs that you see worldwide. We sell virtually I think to every major OEM automotive company in the world. And we have the ability to customize and tailor our product to the individual OEM or Tier 1s who seek design applications. We also have a very strong sense of developing products for the growing global market as we look at where we thing heating and cooling could be used in the future, an example of that is our steering wheel heater. It’s a new product for Gentherm and one of four fastest-growing segments and more and more people are opting to buy heated steering wheel when they seem them – offer to them. This year also in new models when you go across the street you see the new Mercedes S class, they are our first customer for what we call the interior heating zone. We have the arm rest, door panels and dash panels, as well as the heated steering wheel all heated to provide very quick thermal comfort to occupants of the new Mercedes S class. I'm going to ask Barry Steele, our CFO to come up and walk you through some of the financial statistics of the company and then we will both be available for questions as soon as Barry is finished. Barry?
Barry G. Steele: Thank you, Dan. Thanks for coming up today. Thank you to everybody. We will first look at the geographic breakdown and build up of our business. You can see that we are pretty well represented in all the major markets with a little bit of emphasis on North America which is almost 50% of our business. That’s also driving some of our growth this year because North American production levels have been very strong. If you look at the sales by products, you can see that in the seat we are over 80% of our business is located there. And then you can see some of our other products that make up the balance. We are growing two ways in the future, one is as we take the seat heater business and move our customers up to higher level product into ventilated systems and active heat/cool systems we see higher price point and higher take rates. We’re going to grow our base business that way. Let me see some of these other product that were just coming online now, that will help continue our growth as we see future products come out for ourselves. So those are few different venues for us to grow the business. We are not just depended on the production levels of the industry. Here you can see our third quarter results. You can see that we grew quite nicely during the third quarter; over 20%. That was driven largely by stronger automotive volume in North America and Asia in particular. We even grew in Europe which is a little bit unusual for an automotive supplier this year. We grew almost 10% in Europe, some that’s driven by a very strong specialty cable business we have in Europe, as well as some conversion of the euro to the U.S. dollars. We got about $2 million in extra revenues during the quarters from euro currency conversion. You can see that our EBITDA amount for third quarter was $21 million, that’s about 12% – little over 12%. So these results are – the third quarter was clearly our strongest quarter this year so far from a revenue perspective as well as profitability. So the year-to-date results for three quarters have been quite strong. We’re about 18% growth this year as we look at the three quarters. And there just a little bit information coming from prior year, you can see that our base for growth on 2013 is about $550 million which should be in the mid $600 million range this year, keep an eye open for our earnings results in the early part of March. 2011 was the year we acquired W.E.T., so that’s not exactly an apple-to-apple number. Our pro forma revenue for 2011 was $505 million. So we grew about 10% in 2012. Because we did such a large acquisition, we have some effects in our financial statements from purchase accounting and other things. Each time we do a press release, we try to show some of those effects. So if you look at our earnings per share there is some higher amortization and other thing that keep it lower. So there is non-cash effect that we try to keep in front of the investors that kind of stand, what’s really in our earnings per share number. Anything from amortization of intangibles to just effects of acquisition cost as we force through the transaction of WET. Here is a built up of our EBITDA. What we try to show in our adjusted EBITDA is a more cash flow and operating effects, so we’re adding back a couple of things with respect to foreign currency, hedging and things that we do, because we don’t do hedge accounting for hedges for our currency effects at the moment. And then turning to the balance sheet we have a very strong balance sheet despite the very large acquisition that we did. We put a lot of equity out to fund the acquisition. We did a preferred share offering. By the way the preferred shares have been completely repaid. So there is no more continuing dilutive effect coming from the preferred shares, but you can see that even our bank debt is pretty low. We’re just a little over one times leveraged. We have lots of cash. If you consider the cash, we’re well below one times leverage. We also have lots of liquidity in our revolvers. We have over $15 million in revolver capacity. So the balance sheet is very, very strong. We should be able to weather any kind of storm because we’re working in an automotive industry that’s very cyclical. Just quick look at our five year chart, you can see a few movements there, sort of the middle was when we acquired W.E.T. So we got a strong bump from the acquisition itself. And then we saw have some doldrums and deep dips in the chart coming from just the market decreasing in the summers of 2011 and 2012. Then you can see the latest movement here in Alaska, the quadrant there was the third quarter results were favorably viewed by the market and we’re now trading in the mid-20 range. And then just a couple of comments on this slide, that shows our market capitalization, our outstanding shares are roughly $35 million today, our diluted outstanding shares again that’s been driven up by the acquisition of WET because we had to issue equity to make the acquisition and our preferred share offering, lot of those shares converted because the performance of the stock was very well and we end up seeing a lot of conversions there. So a lot of that dilution has started to slow down for us. That’s all I have.
Unidentified Analyst: Okay, thank you Barry. Does anyone have any questions you would like to address?
Daniel R. Coker: Very good presentation, we answered everything. Yes. Brian.
Unidentified Analyst: Just wanted to see based on what you’ve taken us through from a company standpoint, if you can talk a little bit about some of the growth targets that you have now like for 2014 as well as beyond – part of that is just given the business that you operate in? What kind of visibility from a backlog standpoint is out there as people look forward here?
Daniel R. Coker: Well, our business is much like most of the automotive world. It is just about a three year lean for us to be able to start a project and again generating revenue. For the first year we had very good visibility what we believe the demand is going to be given market conditions. Second year we have a little bit less visibility. Third year it’s a little bit more of a patchier [ph]. So for us we look forward, we feel very confident. But for us right now, 2014 looks very good, 2015 looks strong and we believe that 2016 is going to be good as well. Our corporate goal is to grow our business each year by at least 10%. We’ve been able to achieve that from our first year of operating together as a single company under Gentherm. I think our first year we were close to 11% growth. This year is clearly going to be over our 10% goal by significant amount. First three quarters, I think you said we were over 18% growth and we had a good strong fourth quarter as well. So we believe we’re positioned nicely to continue our goal of achieving at least 10% growth per year. Yes.
Unidentified Analyst: You mentioned the drag of the alternator on the traditional engine, is there any drag associated with your new waste heat technology and if there is what extent does it either improve the drag of the alternator, use of the engine or not?
Daniel R. Coker: Actually there is no drag by our new device. It’s actually inline to the exhaust system much like the catalytic converter is. So there is absolutely no drag on the internal combustion engine at all. Although there is some balancing that has to be done because we are putting components in the exhaust line. So there has to be some balance of the flow and mass flow that comes through the vehicle, but has very little performance issue on the engine and all.
Unidentified Analyst: It’s the catalytic convertor, it’s the reason I asked those. My understanding is those do affect the performance if you take the catalytic convertor?
Daniel R. Coker: We’re usually downstream of the catalytic convertor. We like a nice steady consistent stream of thermal energy coming through somewhere between the range of 400 degree and 600 degree would be just perfectly costly for us to operate full time. Any other questions?
Anthony J. Deem – KeyBanc Capital Markets, Inc.: Hi, good afternoon. Anthony Deem, Key. Can you discuss the current overall market penetration rates in North America and Europe for your various seating applications and then highlight an estimated market share that Gentherm may have?
Daniel R. Coker: I can tell you a little bit about the seat business, the seat heater business we have globally, I am not too sure specifically about North America or Europe, but globally we have in excess of 50% and less than 60% of the total demand for seat heaters worldwide. We’ve done that by positioning ourselves as the low cost supplier and highest quality supplier worldwide. We attack all three major markets with low cost supply operations. Our heated and cool seats, we have pretty close to a 100% of the world market for that. Although the market, it is much smaller, we are focusing ourselves on the high-end market. The customers we have globally are concentrated primarily in the North American and Asian market today. The significant customers we have in the European market for the heated and cool products are Range Rover and Jaguar. We are very strong supplier to those two key components in the luxury market in Europe, but we have lots of room for growth. And as Barry was pointing out, we are trying to convince our customers and they see the reality in the past of that to take a heated seat or a heat vent and a heat vent customer to a heat cool. That’s particularly focused on the demographic of the target market for the vehicle. We believe that most of the high-end luxury market will ultimately have a heated and cooled heat system. In the worldwide, that’s going to take us few years to get there, but our current market penetration is less than 5%.
Barry G. Steele: Can I just add to that point?
Daniel R. Coker: Yes.
Barry G. Steele: I think it’s very important that that – our market share is strong and clearly the leader in all of our market segments and that’s true. But what the real driver for our revenue is how we’re going to be getting more content for vehicle through upgrading into the higher level products as well as the new products we see coming online. So for a normal automotive supplier, I think that what market share and how those stay ahead of the competition is very important for us, put new products and how we’re convincing our customers to move up in the price chain is important.
Unidentified Analyst: Longer-term opportunity that you see in China with your various heating applications, heat and cool and such and where ultimately you see content going there?
Daniel R. Coker: Yes. Actually that is very good opportunities for us worldwide. The Asian markets particularly China is a very robust growing market for us. We have a very large facility in China that’s supplying the domestic markets as well as what we call the trans lines there, mostly the German companies have established manufacturing there and there is a very strong opportunity for growth there. The market is growing nearly exponentially. I mean it’s a very rapid market, but for our business globally, we also have a very strong opportunity increased penetration in the European market which for us is very, very strong opportunity. We have essentially as I mentioned only Jag and Land Rover in the high-end luxury market for the heat and cool products and we have a tremendous opportunity with now our team of some 300 German engineers as part of our team working with the 5 German manufacturers. All of them have very strong luxury marks in their line ups. So we think this is a good opportunity for growth worldwide, not just in China.
Unidentified Analyst: Now the question is the back.
David H. Lim – Wells Fargo Securities LLC: Dave Lim, Wells Fargo. Just a couple of questions. Can you sort of size the opportunity that you could have on the mid to upper level range vehicles, non-luxury, first thing. And then, the second thing is are there any kind of other applications for your seat, lets say on the aerospace side. When we look at like business class and first class on commercial airliners. And then I guess the third point is in order for the heating and cooling, you guys have been worked in conjunction with lets’ say heat supplier like JCI or you guys separately source or can you give us a little bit of an idea on that point?
Daniel R. Coker: Hi, we’ll start from the reverse and the one’s I can remember from back. We are typically what is called a directed source. The OEMs make the decision to add our feature to a platform and then the seat company is directed to use and work with us to integrate this systems and components into their heat structures as they are being designed. And that’s almost true now worldwide. The Tier 1s are very good partners of ours, we work very closely with Lear, with Faurecia, with JCI and all the major seat suppliers in that fashion. How we approach the non-luxury markets, let’s say the middle or upper middle range vehicles are that we present an option and typically the midrange and upper midrange, these customers are now partially migrating from higher end vehicles with less fuel efficiency downstream. So we’re seeing a trend for these people who are moving into what is the traditional mid class models to want to take their high-end features with them. You see them bringing high-end stereo systems, entertainment systems, and we’re seeing a strong demand for our type of heated and cool products and heated and ventilated products to the mid market. Our number one seller in the heated and cool product in the world is the F-150 pickup truck and you can’t get more midrange vehicles within that. I mean that’s the one number selling vehicle in the world and it’s our number one revenue generator. If I can – I think with the third piece of your question.
Barry G. Steele: Yes. Non-automotive applications or other applications for the heated and cool seats. We have a long relationship with the aircraft aviation industry trying to find ways to get into that market place. We’ve built several prototype seats, not only for aviation, but for other applications as well. This year we launched a heated and ventilated and heated and cool office chair primarily for an Asian customer, but we’re seeing a strong interest for other applications outside of the automotive industry for our abilities to heat and vent and heat and cool seating surfaces, medical treatment beds, other medical applications as well. So the aviation industry is unique and that we’re used to the auto standards about how safety and reliability should be interpreted and the aviation industry the standards are far and languish to us. We’re trying to understand it better. But to get FAA approval for our type of component is quite an extensive and exhaustive effort. So we have to work very hard to find some partners to help us get that done.
Unidentified Analyst: Any other questions?
Unidentified Analyst: Kind of belong to the same lines. You gave example of the math that you’ve got in your portfolio already. How big are the non-auto applications likely to be as a percent of the total company in five plus years?
Daniel R. Coker: Right now we’re probably seeing the non-automotive business being about 2% of our total revenues somewhere in the mid $600 million range. Our goal for that are short-term goal as you’ve indicated a couple of years out would be to try to achieve a 10% level of non-automotive business and a long-term goal just in terms of good financial help and stability we’d like to see something in the 20% to 25% total revenue range of non-automotive applications. That I think would give us appropriate balance. The automotive industry is a very large demanding market and it generates lots of volume, but we also need other areas of diversification to help us run and balance our business. Any other questions? Sorry to keep moving you through all ends of the room.
Unidentified Analyst: You talked about W.E.T. and as we sit here today beginning in 2014 obviously the company has been combined for several years, obviously we are able to squeeze out last year. Just is there like a dividend stream and can you talk about how that continues to pay dividends today since you brought like you see Amerigon and W.E.T. together, as we look at 2014 and beyond. I mean now you have a corporate platform, you’re able to better migrate the customers as you pointed out. Can you talk a little bit more about those continuing benefits of having whole of the platform now?
Daniel R. Coker: Well the biggest benefit that we achieve by merging the two companies together is that the old Amerigon was literally a startup company. It was based upon innovation and technology. We never manufactured any of our own product. We brought everything out from a contract manufacturing relationship with some people that we developed over 15 year period based primarily is Asia. The W.E.T. people had the opposite view of life. They made more commodity like products that demanded very high volume, high quality operations and they were primary manufacturing and everything that they do. So the biggest thing that they bought us was the understanding of the manufacturing systems and processes necessary to satisfy the global market. That was one of the key interests for us in merging the two companies together. We felt that blending the – kind of entrepreneurial spirit and technology drive of the old Amerigon team with the very strong process and systems drive of the WET team would give us an opportunity to be able to have a well founded company that can growth on new products and new markets and so for knock on with that forecast fairly well for the last three years for us and every indications are that that looks like that’s going to play well into the future. Again the biggest asset we got was their understanding of manufacturing systems and the breadth of that gives to our company. But again I think the merging of the two teams, we’ve got – we now have over 7,000 employees worldwide which is a little bit of a change for the old Amerigon team, but very much in line with all of the backgrounds of all the management and our board of directors in terms of the scope of the company. So we’re very comfortable with the new company, the new culture, the new organization and the new capacities that we have.
Unidentified Analyst: Any other questions folks? One more.
Unidentified Analyst: On the mattress thing, are you all selling your content to the mattress manufacturer or are you all firming up the manufacturing that mattress, and actually selling the whole unit to Mattress Firm if you will?
Daniel R. Coker: We are actually doing a little bit of both in that. We worked very hard try to find an OEM, someone like we work very hard and close with Sealy and a couple of the other mattress manufacturers. For us that would be an OEM in the mattress market. But we really found that it was easier for us to get to market by simply designing our systems and them finding an independent mattress manufacturer and having them construct the mattress with our components in it and then we provide that system to the retailer Mattress Firm. And they market our product under a brand name that they have chosen called YuMe, which a lot of the marketing experts didn’t sound like clever to me but that was the name that they chose. So we’re in effect doing both. We are only claiming revenue for our components, for our value-add contents. So for each bed that we sell we claim roughly $500 million or $600 million worth of revenue even though the bed is selling for $2,000 or $3,000. So the manufacturer of the mattress gets some of the part but the matron people get most of the revenue and that’s a very distribution heavy product line.
Unidentified Analyst: Are you making more money selling mattresses or selling cars?
Daniel R. Coker: Well as a percentage we make a lot more money selling mattresses. The volume for us at the moment is a little bit at a wag, but the opportunities outside of the automotive industry do offer better returns for our efforts.
Unidentified Analyst: And these memory foam mattresses, coil springs or both?
Daniel R. Coker: They are typically right now, they’re all memory foam or what they call foam layer latex beds as opposed to the coil spring mattress. That has a unique application. The number one is, it’s a very high-end bed, but the latex rubber also reflects body heat quite readily and provides a hot sleep. Our ability to be able to cool the occupants during that sleep period is very strong sale point.
Unidentified Analyst: Great, thanks a lot.
Daniel R. Coker: Yes, sir.
Unidentified Analyst: We’ve got a question in the back.
Unidentified Analyst: Hi, [indiscernible]. So moving into non-automotive other segments, are there opportunities for acquisitions for you guys to pursue and investing you consider?
Daniel R. Coker: Absolutely, one of the things we found when we started looking outside of the automotive market is that we know the automotive market very well. When we try to apply our automotive knowledge to other markets it sometimes is a disadvantage for us. So we’ve actually had to set up a separate group within our company and we picked some of our blander people that focus on the non-automotive work. We call that the Gentherm technologies and these are the people who are challenged with going and figuring out the mattress market, figuring out some of the other applications where we’re not normally operating in. There are very good opportunities for us to look at adding to our portfolio of skills and products throughout acquisition. We continue to monitor the market and see if there is anything that comes along the line. It would be attractive to us. Not only for the non-automotive, but also for the core technologies and for the automotive industry as well.
Unidentified Analyst: For financing those acquisitions would you consider going to the high yield markets or would it dominate your free cash flow sales?
Daniel R. Coker: So I think here the – for financing for the acquisitions, would you look at battling the high-yield markets or going out with the dead rates or would it predominantly be either be cash flow or actual rates.
Barry G. Steele: We have a very nice little pile of cash. Right now, I think we’re probably in the year somewhere in the $50 million cash range and we’ve said we have very little debt. It depends on the size of the acquisition and what the requirements are. We have very good relationships with the banking consortium, that’s been very helpful to us in financing and funding our operations and we’ve also used the equity market as well as we look at acquiring new opportunities.
Daniel R. Coker: Most of the potential acquisitions that we might be considering are pretty small. So there would necessarily be a lot of cash with us or you can borrow from Barry.
Unidentified Analyst: Any other questions? All right, it looks like we’re down to our last minute. So we thank everybody for coming and all your questions and all your attention. Thanks very much sir.